Operator: Good day and welcome to the Lydall Conference Call and Webcast. [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brendan Moynihan. Please go ahead.
Brendan Moynihan: Thank you, Chantal. Good morning everyone, and welcome to Lydall's second quarter 2019 earnings conference call. Joining me on today's call are Dale Barnhart, President and Chief Executive Officer; and Randy Gonzales, Executive Vice-President and Chief Financial Officer. Dale will start the call with comments about the continued progress we are making in executing our long-term strategy as well as provide an overview of current business conditions. Randy will follow with a review of our financial performance and discuss the key drivers by segment. At the end of our remarks, we'll open the line for questions. Yesterday, our quarterly earnings release was issued and our Form 10-Q was filed. So that you can follow along with today's call, please reference the Q2 2019 earnings conference call presentation, which can be found at lydall.com in the investor relations section. As noted on slide two of this presentation, any comments made on this conference call that may constitute forward-looking statements are made available pursuant to the Safe Harbor provision as defined in the securities laws. Please also refer to the cautionary note concerning forward-looking statements within Lydall's Form 10-Q for further information. In addition, we will be referring to non-GAAP financial measures during this conference call. A reconciliation to GAAP financials can be found in the appendix of the presentation I just referenced. With that, I'll turn the call over to Dale.
Dale Barnhart: Thank you, Brendan. Good morning, everyone, and thanks for joining us. Slide three outlines our recently published financial results for the second quarter. Second quarter 2019 net sales of $221 million increased 18.5% or $34 million from the same period in 2018. Organically, sales were up in every segment with a consolidated organic rate of 3.7% or $7 million. Filtration sales and Performance Materials and higher sales in China for Industrial Filtration Products and Technical Nonwovens were key drivers. In the Thermal Acoustic Solutions, stronger organic part sales domestically and to a lesser degree, in Europe, were partially offset by lower sales in China. The stronger dollar was a headwind on our foreign sales, reducing consolidated revenue by $5 million or 2.6 percentage points. The Interface acquisition added almost $33 million of inorganic sales, which is in line with our expectations given the general softness in the sealing end market that began earlier in the year. The adjusted EBITDA for the second quarter of $25.3 million was up 16.6% from prior year, primarily through the high margin sales from Interface, which added $5.2 million of EBITDA compared to prior year. In Technical Nonwovens, improving pricing, productivity and benefits from restructuring enhanced segment margins. Higher cost in Thermal Acoustic Solution’s European business driven by operational issues were a headwind, and the Thermal Acoustic Solutions teams will be working to address these challenges immediately. Notably, adjusted consolidated EBITDA margin of 11.5% was up sequentially by 150 basis points from the first quarter of 2019. Adjusted earnings were $0.41 per share, down $0.29 from the second quarter of 2018, including approximately $0.18 of incremental amortization associated with the Interface acquisition. Finally, strong cash generation of $22 million in the quarter and $36 million for the first half of 2019 was led by organic improvements in working capital, enabling us to pay down $25 million of debt on our credit facility and continue to fund capital investments. Turning to Slide four. This is an overview of our long-term growth strategy, which includes four drivers; new product development, Lean Six Sigma, geographic expansion and M&A. With respect to M&A activity, we announced two small transactions as a part of our active long-term portfolio management process. On our last call, we discussed a small cash funded acquisition of gasket materials book of business from Hollingsworth & Vose, adding to our Interface portfolio in Performance Materials segment. Later in the second quarter of this year, we also announced the sale of Geosol segment of the Texel business in Canada, which installs geosynthetic products produced by Texel. The Texel business will continue to supply the geosynthetic material to the purchaser under a long-term agreement. This allows the Texel team to focus on the value we provide in material production while strategically divesting the lower-margin seasonal installation business. I'd also like to highlight a new product launch in our Thermal Acoustic Solutions segment, which is sowing the benefits of the consolidation of the metals and fibers business under one global team. Our Saint-Nazaire facility in France was awarded a new product application for a major Franco-German OEM customer and a European supercar manufacturer for acoustic tunnels and outer dash acoustical panels. The acoustic tunnel application marries a metal thermal shield with a nonwoven-coated acoustical material to provide both thermal and acoustical shielding while also providing retardant -- fire retardant properties. The outer dash panels are made of needle punch nonwoven material made of a custom mix of fibers and are cut and formed in our French facility. The extension of the acoustical shield in Europe leverages the consolidated talents of the Thermal Acoustic Solutions business and is an early example of expanding the acoustical fiber base business globally. Turning to Slide four with respect to business conditions. Overall, we believe the underlying fundamentals of our business remains steady, but we continue to monitor governmental actions that impact global trade regulations. On the supply side in the second quarter, we saw a nice tailwind on the cost of aluminum sheet products used by our Thermal Acoustic Solutions business. This was driven primarily by the LME Index price, which was down almost 20% year-on-year as the emergence of global trade issues drove steep increases last year. We continue to see upward pressure on the conversion cost in North America, but these were mitigated by favorability in the Midwest premium. Our outlook for the second half anticipates base LME pricing of aluminum to remain in the mid-$0.80 per range and the Midwest premium, and conversion cost will remain at the levels seen in the first half of 2019. We continue to closely monitor polyester fiber pricing, a key input across Filtration & Engineering Materials business segments and continues to see supply constraints and higher prices on meta aramid fibers and input for certain specialty applications in Technical Nonwovens and gasket applications in Performance Materials. On the demand side, the domestic automotive seasonally adjusted rate in June was 17.3 million units, essentially flat with the same period last year. Despite light vehicle production levels for the year -- excuse me, domestic light vehicle production levels for the year are expected to be down 2.7% at $16.9 million and European volumes to be essentially flat. Given the large year-over-year declines in the Chinese market in the first half, market projections have been revised downward to approximately 6% decline for the full year. We expect to slightly outpace the market on a volume basis due to our mix of applications and platforms in our product portfolio. Looking through our Filtration & Engineering Materials businesses, we continue to see favorable market conditions for filtration products in North America and in Europe with softness in China. We're closely monitoring conditions in the sealing market, which saw weakness across all regions in the first half of the year, and expect demand to be consistent with this level in the short term. In Technical Nonwovens, North American demand in the Industrial Filtration markets remain healthy and European demand is stable, but some uncertainty remains on the impact of Brexit. The Advanced Materials end markets outside of automotive applications also remain healthy, and we expect seasonally higher sales in geosynthetics in North America consistent with prior years. With that, I now will turn the call over to Randy.
Randy Gonzales: Thank you, Dale, and good morning, everyone. Turning to Slide six, I'll briefly cover our consolidated results and then provide an overview of our operating segment results. As a reminder, we will be discussing adjusted financial metrics, including adjusted EBITDA by segment. Details and reconciliations to comparable GAAP numbers are provided in a press release and earnings presentation. I'd like to start by highlighting that we completed our planned settlement of the Lydall pension plan in the second quarter. The resulting pre-tax noncash charge for this was $25.5 million, slightly favorable to our prior guidance. The charge is booked in non-operating income in the P&L. So while it did not impact gross margin or operating income, it does significantly impact the quarterly tax rate, earnings and EBITDA results, which will be noted in our discussion. As Dale already mentioned, consolidated sales in second quarter were $221 million, up $34.4 million and 3% -- 3.7% organically. Reported gross margin in the second quarter was 20.5%, up 110 basis points from prior year, including a 50 basis points tailwind from lower restructuring spending. Incremental high gross margin sales in the Performance Materials segment from the Interface business and pricing and productivity gains in Technical Nonwovens were partially offset by labor and overhead costs in the Thermal Acoustical Solutions segment. Sequentially, we saw adjusted gross margins expand 100 basis points from first quarter 2019. Improvement in gross margin was supplemented by continued discipline on SG&A expenses. Excluding restructuring, strategic initiatives, amortization and the addition of Interface, SG&A expenses were down $600,000 principally on lower salaries and benefit expenses. Second quarter consolidated EBITDA margin was 0.3%, impacted by the planned settlement of the legacy Lydall domestic pension plan, resulting in a noncash charge of $25.5 million in the quarter. In addition, we incurred $400,000 of expenses related to corporate strategic initiatives and $100,000 of expenses related to restructuring activities. Adjusting for these items, EBITDA margin in the second quarter of 2019 was 11.5%, essentially flat to the prior year with sequential expansion of 150 basis points from first quarter 2019. Adjusted EBITDA for the quarter was $25.3 million, up 16.6% or $3.6 million from the second quarter 2018 period. The Interface business contributed incremental EBITDA of $5.2 million in the period. The reported tax benefit of $8.2 million included a tax benefit of $10.5 million associated with the pension plan settlement. Excluding the planned settlement charge, the effective tax rate for the second quarter 2019 was 22.7%. This compares to a reported rate of 13.7% in second quarter 2018, which was favorably impacted by deductibility of discretionary pension plan contributions and geographical mix of earnings. For 2019, we continue to anticipate the consolidated ordinary tax rate to be in the range of 20% to 22%. Second quarter earnings per share was a loss of $0.40 compared to $0.60 of earnings in the prior year. The pension settlement net of tax impacted EPS by $0.86. And adjusting for strategic initiatives, restructuring expenses and a $0.07 gain on the sale of Geosol, adjusted earnings per share of $0.41 were down $0.29 compared to adjusted EPS of $0.70 delivered in the second quarter of 2018. This includes incremental amortization of $3.9 million or approximately $0.18 per share. Cash flows provided by operations in the second quarter were strong at $21.8 million and $36.2 million for the first half of the year, an improvement of $28.2 million from last year driven primarily by improvements in working capital. Cash was used to pay down debt by $18 million in the quarter, resulting in a total reduction of $25 million year-to-date. Capital expenditures in second quarter were $11 million, in line with our projected full-year capital spend in the range of $40 million to $45 million. As previously communicated, cash generation and working capital reduction are key focus areas in 2019 as we look to accelerate debt pay-down. Our liquidity remains strong. At the end of the second quarter of 2019, cash was $43 million. Total outstanding debt from the credit facility ended second quarter at $300 million for a net leverage ratio of approximately 2.9 times adjusted EBITDA. Moving to Slide seven. I'll discuss our segment results, starting with our Thermal Acoustical Solutions statement. This is our global automotive business that specializes in providing innovative engineered thermal and acoustical solutions for vehicle underhood, underbody, powertrain and exhaust applications. Second quarter sales in this business were $93.3 million, up 4.8% organically. Net part sales of $85.7 million were up $2.8 million from prior year, led by higher sales in North America, which were favorably impacted by lower sales in the second quarter 2018 related to reduced forward volumes driven by a supplier issue. Sales in Europe were up low single digits net of foreign exchange, led by volume gains on selected platforms. While the China market has seen double-digit volume declines in auto production, our part sales in China were only down 2% net of foreign exchange driven by the mix of customer and platforms. Tooling sales of $7.6 million were up modestly in the quarter but down $3.3 million for the first half of the year, in line with expectations. Foreign exchange, primarily the euro, reduced sales growth by 200 basis points. Profitability in the Thermal Acoustical Solutions segment was favorably impacted by lower commodity prices and improvement in domestic operations, offset by higher costs in our European facilities. EBITDA margin of 10.5% was down 180 basis points from prior year. In the quarter, the year-over-year decline in LME Index pricing was largely offset by higher scrap rates combined with lower prices on scrap sales. Higher labor rates and over time in our Hamptonville facility were a headwind of approximately 70 basis points. Finally, our European operations experienced higher labor, freight and outsourcing costs of 90 basis points driven by product mix and OEM delivery requirements. We are actively working to mitigate these issues in Europe but expect they will persist into the second half of 2019. On a positive note, we continue to see operational improvement in our North American operations with sequential parts gross margin expansion for the third consecutive quarter. Moving to Slide eight. I will cover our Performance Materials segment, which provides specialty filtration and engineered sealing solutions to a variety of end markets and industries globally. Sales of $65.1 million were up $33.9 million or 108% compared to the prior year, including $32.7 million of sales from the Interface acquisition. FX was a headwind of 210 basis points in the quarter with resulting organic growth of 2% driven primarily by higher filtration sales. Second quarter EBITDA margin of 14.8% is down 20 basis points from the prior year with gross margins unfavorably impacted by product mix and start-up costs to ramp incremental air filtration output associated with assets purchased from Precision Filtration in the second half of 2018. This was partially offset by lower SG&A spending in the legacy business primarily on lower trial expenses. While the sales contribution from Interface was lower than expected, the gross margin was accretive to the Performance Materials portfolio and the business delivered incremental EBITDA of $5.2 million in the quarter. Note that second quarter results include $4 million of amortization for Interface which will continue at similar levels through the remainder of 2019. We continue to expect Interface to be accretive to Lydall gross margin, EBITDA margin and cash in 2019. Slide 9 covers our Technical Nonwovens segment. This segment produces air and liquid filtration media as well as other engineered products for use in various commercial applications such as geosynthetics, automotive, industrial and medical, among others. Sales in the second quarter of 2019 were $69.1 million, up 2.6% organically, net of FX translation headwinds of 360 basis points. Industrial Filtration sales were down 1.2% as reported but up 4.5% net of FX driven by higher volumes in China, which were unfavorably impacted in the prior year period due to disruption associated with slight consolidation activity. Sales in Advanced Materials were down 6.7% driven by the divestiture of Texel's Geosol installation business in Canada and lower sales of needle felts to the Thermal Acoustical Solutions segment. Backlog for all regions remains healthy. In terms of profitability, adjusted segment EBITDA margin of 16.2% was up 140 basis points from second quarter 2018. This was driven primarily by pricing actions that more than offset higher material costs and productivity improvements. As previously discussed, meta aramid fibers continue to be an area where we see cost pressures, but these have generally stabilized. As a reminder, adjusted segment EBITDA accounts for restructuring expenses in both periods which impacted EBITDA margins by $100,000 or 10 basis points in second quarter 2019, and $900,000 or 130 basis points in second quarter of 2018. That concludes our review of the second quarter results. While sales were off to a slower-than-expected start for Interface, we saw organic sales growth in all three business segments and incremental margin expansion from the first quarter. Looking forward, we will continue to focus on mitigating higher costs in our European Thermal Acoustical Solutions operations as well as the integration of the Interface acquisition into the Performance Materials portfolio. Finally, we will continue our efforts on working capital management to drive healthy cash flow generation. With that, I will turn the call back to the operator to begin our question-and-answer session.
Operator: Thank you. We will not begin the question and answer session. [Operator Instructions] Your first question comes from Chris Moore, CJS Securities. Go ahead please.
Stefanos Crist: Hi. This is Stefanos Crist calling in for Chris Moore. Good morning.
Dale Barnhart: Good morning.
Stefanos Crist: First, in the TAS operating margins, you mentioned they were lower because of higher costs in Europe. Can you talk about what initiatives you're taking to recover those margins more specifically?
Dale Barnhart: Yes. When you look at TAS, it's sort of a geographic mix that we are seeing. In North America, we saw sequential gross margin improvement in year-over-year equivalent gross margin. In China, we actually saw sequential improvement in gross margin year over year and sequentially. And so the mix issue is in Europe, and it's a tale of two cities right now. Our German operation has lower volume than anticipated and our French operation has more volume than anticipated, which has led to expedited freight and outsourcing. So one of the immediate things we are doing right now is we're actually moving some of the volume from Saint-Nazaire to Meinerzhagen, from the French facility to the German facility, so that's -- immediately to help mitigate some of the overtime and expedited freight. And then in addition to that, we'll be looking at what we can do to improve the throughput in both operations.
Stefanos Crist: Got it. And you said these cost would persist until the second half of 2019. Should they recover by 2020?
Dale Barnhart: Yes.
Stefanos Crist: Okay. Thank you. And then, just one more. Could we talk about the current M&A pipeline, maybe which segments they'd be more likely to be in?
Dale Barnhart: As we've always stated, our strategy is -- our M&A will be focused on the Filtration & Engineering side of our business. We will grow the automotive business organically and we've been successful at doing both.
Stefanos Crist: All right. Thank you.
Dale Barnhart: And as far as the pipeline, right now our focus in 2019 is to fully integrate IPM into Performance Materials, complete the restructuring, which was part of the synergy programs in Technical Nonwovens. So that's going to be our key focus in w019. But we're active in keeping the pipeline well stocked with opportunities that we will pursue in the following years.
Stefanos Crist: Got it. Thank you. I'll jump back in the queue.
Operator: Thank you. Your next question comes from Edward Marshall, Sidoti & Company. Go ahead, please.
Edward Marshall: Hey, Dale, Randy, Brendan, how are you guys? Good morning.
Dale Barnhart: Good morning, Ed.
Randy Gonzales: Good morning.
Edward Marshall: So it's good to finally see the diversification in the business offsetting some weaknesses in other areas. And I'm curious, I just want to follow-up on TAS for a second. When -- I just want to make sure that this is a situation of operational overload, meaning you discuss kind of the French versus German volumes in Europe versus maybe a contract issue or an unfavorable contract issue. Could you just talk about maybe some of what's going through Europe? And then specifically, could you comment on the second half 2019 when you expect some new model rollouts and maybe an update there? Thanks.
Dale Barnhart: See, as it relate -- there's still real contract issues, so that's not an issue with us. It's -- what has occurred in, particularly in our French operation, one of our major OEMs there has significantly increased their demand over what we had in our budget and our forecast for them going into 2019. We also had an issue in the second quarter where one of our high-volume transfer lines went down, so we had a little bit of impact there and that -- compound that with the additional volume. And of course, our number one priority is to make sure we keep our customers' lines running, which we have. But to do that, we've had excessive outsourcing and expedited freight out of the French facility. And then when you look at Germany, there's been some softness in the volume there. And that's created some fixed cost issues as far as fixed cost absorption and just labor efficiency. So as we speak, we're relocating some of those parts now from the French facility to the German facility, and that will happen sometime in the third quarter and we'll see some benefit of that really in the fourth quarter. And then just the overall efficiency programs, we're looking at making sure that we're doing what we should be doing day-to-day in both operations. As far as...
Edward Marshall: So I guess -- no, go ahead. I'm sorry, go ahead.
Dale Barnhart: No. Go on, Ed.
Edward Marshall: So I guess with the commentary about aluminum and the movement there and kind of the outlook for the second half of the year, fixed cost absorption really not being an issue because it looks like volume is up in all three areas. As we move into 2020 and we think about kind of the recovery, I think, that you said, it's fair to see a recovery in the margin. I'm curious just to -- if you would define recovery as you kind of think. Is this back to the traditional margin that this business, is this 50 basis points? Kind of talk about what your definition of a recovery is for the auto?
Dale Barnhart: Well, it will be an improvement over where we are. I wouldn't -- I'm not going to peg it to a particular time because there are several dynamics that are going on. But yes, it should improve and I'm not going to give an actual basis point improvement, but it will improve over 2019. We're doing several things. We're -- we should see continued improvement. But regardless of what happens in metal in the North American operations, we're really focused on -- we've got several new high-speed lines running the thermal business side of the business, a lot of focus on fully utilizing those assets and getting our OEs up on those assets, getting the productivity up. That's been a significant portion of the improvement we've seen so far this year compared to last year. In Germany next year, we will have another high-speed line fully running with higher-value dual wall products running there, so we should see improvement there. And we have -- we're bringing in another asset into the French facility in the back half of this year, which will improve the overall productivity there. And our China facility is doing quite well. Despite what's going on in volume in that country, we're up. We're not down anywhere near where the market is down. And year-over-year and sequentially, we've seen gross margin improvement in that business.
Edward Marshall: Got it. Got it. So, switching gears over to the sealing business. I understand there's weakness there relative to kind of what you thought when you acquired the business. I'm just trying to get a sense, if I could, what the upside in that business is in the event of a turnaround? Because we still haven't really seen a clean quarter since you've owned the business to kind of get a sense as to where margins could go. So maybe if you could comment on where your targets were when you acquired versus maybe where they are today? Thanks.
Dale Barnhart: Well, our target as far as revenue in the first half was pretty much on line with what the business actually experienced in 2018. So the softness we're seeing there is, compared to last year, there's been several factors in the first half. First of all, about 40% of the decline in revenue in the first half in IPM is due to geopolitical issues in China and India. That's where a significant drop of the revenue has come first half 2019 versus first half 2018. China is driven by the trade issues and overall softness in that market. India, a lot to do with the election and that's behind us now. And then in North America, we feel a lot of the softness is due to just destocking of distributors who take a lot of this gasket for replacement. And if you referred to Donaldson and Parker, both of those companies are indicating they've seen the same thing, that maybe in the first half of 2018, wholesale distribution bought ahead, anticipating a strong 2018, carried a little too much inventory and softness, therefore, in the first half of 2019. Where do we expect the business to go? We expect it -- on the back of the year, we should be very similar to the first half of the year, IPM. But going forward, we expect to see 2% to 3% top line growth, which will drive good margin expansion in that business. And historically, if we look at it, after these lows, typically, there can be a spike as distribution then reloads again. And that's hard to predict, Ed.
Randy Gonzales: The other thing that I'll add, Ed, is though -- although top line hasn't met our expectations for the reasons Dale talked about, gross margin is very much in line with what we expected, so solid performance on gross margin. They've done a very good job of quickly implementing many lean programs that are making an impact. So the detrimental volume has been managed very well, which is a testament to the fact that the integration is going well.
Edward Marshall: Right. That kind of brings me back to the next point. I think when I look at cash conversion which we've done, you've done a pretty good job and your terms seem to be trending in the right direction. I'm curious if you could comment if there are specific initiatives that you're working on from a working capital perspective. Or is it specifically kind of a bleed down of what working capital is built out in Interface?
Randy Gonzales: No. There's been an intense focus this year in the first half on working capital across the board. So in the first quarter, you saw benefits from accounts payable. Second quarter, you've seen benefits from accounts receivable. Going forward, third quarter, we're focusing on inventory. So it's not just Interface. It's across the business and the team has done a very good job of executing and converting that, the working capital reduction into cash.
Edward Marshall: Eyeballing it, does it make sense to see $30 million plus in free cash flow generated this year?
Randy Gonzales: Yes.
Edward Marshall: And if so, could you just talk about the cash priorities, CapEx versus debt? I understand growth is an initiative, but looking at the balance sheet too? Thanks.
Dale Barnhart: Well, first is the CapEx we're committed to and that's driving why we're seeing the organic growth we're seeing, so we'll continue to support that. But I would say they're almost tied in debt repayment, our two top priorities as it relates to cash, capital allocation, and that's what you see happen this year with the business.
Edward Marshall: Okay. Thanks, guys. I appreciate it. Decent quarter. I appreciate it.
Dale Barnhart: Thank you.
Randy Gonzales: Thanks Ed.
Operator: Thank you. [Operator instructions] There are no further questions at this time. I will hand back to yourself, Brendan, for closing remarks.
Brendan Moynihan: Thank you for joining the call this morning. I'm sure we'll be talking to you soon. Thank you very much.